Operator: Greetings and welcome to AutoZone’s 2021 Fourth Quarter Earnings Release Conference Call. At this time all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder this conference is being recorded. It is now my pleasure to introduce Brian Campbell. Thank you. You may begin.
Brian Campbell: Before we begin, please note that today’s call includes forward-looking statements that are subject to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. The forward-looking statements are not guarantees of future performance. Please refer to this morning’s press release and the company’s most recent annual report on Form 10-K and other filings with the Securities and Exchange Commission for discussion of important risks and uncertainties that could cause actual results to differ materially from expectations. Forward-looking statements speak only as the date made and the company undertakes no obligation to update such statements. Today’s call will also include certain non-GAAP measures. A reconciliation of non-GAAP to GAAP financial measures can be found in our press release.
William Rhodes: Good morning. And thank you for joining us today for AutoZone’s 2021 fourth quarter conference call. With me today, are Jamere Jackson, Executive Vice President, Chief Financial Officer and Brian Campbell, Vice President, Treasurer, Investor Relations and Tax. Regarding the fourth quarter, I hope you've had an opportunity to read our press release and learn about the quarter's results. If not the press release, along with slides complementing our comments today, are available on our website, www.autozone.com under the Investor Relations link. Please click on quarterly earnings conference calls to see them. As I have said previously, throughout the pandemic, we could not deliver the kind of results we have without the outstanding performance of our entire team, especially our store and supply chain AutoZoners. As our sales volumes have remained at historic all time highs our AutoZoners continue to enthusiastically meet and embrace the challenge. As we say, they're going the extra mile for our customers and we owe them a tremendous debt of gratitude. I also want to reiterate our highest priority remains being committed to keeping all of our customers and AutoZoners safe. Thank you, AutoZoners. Again, you are remarkable. This morning we will review our overall same store sales DIY versus the DIFM trends, sales cadence over the 16 weeks of the quarter, merchandise categories that drove our performance and any regional discrepancies; we’ll also share how inflation is affecting our costs and retails and how we think they will impact our business for the remainder of the calendar year. Okay. Onto our sales results, our domestic same store sales were an impressive 4.3% this quarter on top of last year's historic 21.8% growth. This time last year, we had no vision, none of delivering a positive comp this quarter, but our team once again performed at an exceptionally high level, congratulations again to AutoZoners everywhere. Our growth rates for retail and commercial were both strong with domestic commercial growth north of 21%. Our commercial business set a record this quarter with $1.2 billion in sales for the quarter, an incredible accomplishment. Additionally, we reached a new milestone in commercial sales surpassing $3 billion for the year finishing with over $3.3 billion in annual sales versus $2.7 billion in sales a year ago, an impressive 23% increase. We set new records in annual sales volumes per store reach $12,600 for the year up from $10,600 just last year. We continue to execute well in commercial and we couldn't be more proud of our team's recent success. I'm also very proud of our organization on our domestic DIY performance. We ran a roughly flat comp this quarter after increasing well over 20% in last year's fourth quarter, while our DIY two year stack comp decelerated some from the third quarter, we were expecting substantially more deceleration as we got further and further from the last round of stimulus back in March. We were quite pleased with the stability of our two year stack, same store sales. In commercial on a two year basis our sales were very consistent with last year's performance. Sorry, last quarter’s performance. \ Now let's focus on our sales cadence. This quarter stretched from early May to the end of August. The first eight weeks of the quarter, our comp was 3.1%. In the last eight weeks, our comp averaged 5.5%. The strength in the back half of the quarter was attributable to easier comparisons to last year. Given the dynamics of the past 18 months, we like others who've benefited from the lumpiness of the pandemic sales believe it is more insightful to look at a two year stack comp. For Q4 our two year comp was 26.0%. On a two year basis, our cadence for each four week period of the quarter was 26.8%, 28.2%, 25.5% and 24.0%. Our two year comp sales trends were remarkably strong and fairly consistent across the quarter. Regarding whether we experienced a noticeably warmer summer out west than in previous years, which helped our sales, but we experienced a milder summer in the Midwest and Northeast, which drove our sales to underperform the chain there. Overall weather impacts were neutral on our performance. Regarding the quarters traffic versus ticket growth, our retail traffic was down roughly 4% while our retail ticket was up 3%. This was expected as stimulus, stay at home orders and closures of big box retail automotive service departments drove outsized traffic last year. Our commercial business saw the vast majority of growth come from transaction growth from new and existing customers. It was encouraging for us to see sales trends remain strong this quarter, and we like the momentum we are seeing in both domestic businesses heading into fiscal year 2022. During the quarter, there were some geographic regions that did better than others as there always are. Across both our retail and commercial customer bases, we saw the Midwest, Mid-Atlantic and North-eastern markets underperform, roughly 400 basis points in comp versus the remainder of the country. The data suggests that we have actually gained some share in these markets. However, we believe the milder summer weather was a large contributor to our sales comp results there. And across the country in retail, our share trends remain strong despite the reopening of big box retailer’s automotive service departments that were closed this time last year. We have been very pleased that we have retained the roughly 10% market share we gained in our retail sales floor business last year. Our number one priority continues to be the health, safety, and wellbeing of our customers and AutoZoners. On Q2’s call we shared that we would provide every AutoZoner with a hundred dollar incentive once they completed their vaccination for COVID 19, that's every AutoZoner, including part-timers. This was the logical next step in our efforts to provide a safe working and shopping environment as we have with our on-going PPP efforts. We spent another $2.7 million in the fourth quarter reimbursing our AutoZoners for the vaccine. I continue to be inspired by our Board and management team's commitment to doing what is right, putting safety first, while caring deeply for our AutoZoners. We are strongly encouraging our AutoZoners to get the vaccine as our culture and values of taking care of one another have been on display for the past 18 months. Now let's move into more specifics on our performance for the quarter. Our same store sales were up 4.3% versus last year's fourth quarter. Our net income was $786 million and our EPS was $35.72 a share, 15.5% above last year's fourth quarter. Our domestic retail, same store sales were down slightly for the quarter while our commercial business remained remarkably strong. Commercial total sales grew approximately 21%. We averaged $74 million in weekly sales, which was approximately $14,400 in sales per program per week, which was easily an all-time record for us. The initiatives that we have in place are meaningfully helping our commercial business. I'll remind you that this is a highly fragmented $75 billion market, and we believe our product and service offerings provide us a tremendous opportunity to significantly grow sales and market share over time. Next I'll talk about trends across our merchandise categories, particularly in the retail business. Our sales for categories continue to outpace the hard part categories with categories like wipers, fluids and lighting all showing string. Our hard parts business was in line with our expectations. Ran roughly flat with last year. We were especially pleased as last year our hard parts business was very strong, especially in categories like batteries. We believe our hard parts business will continue to strengthen as our customers drive more. Let me also address what we are seeing from inflation and pricing in our space. This quarter, we saw our retail sales impacted positively by about 2% year-over-year from inflation, while our cost of goods was basically flat. We believe both numbers will be higher in the first quarter as cost increases in many merchandise categories work their way through the system. We can see low single digit inflation in retails as rising raw material, labor and transportation costs are impacting us and our suppliers. We have no way to say how long it will last, but our industry has been disciplined about pricing for decades. While we continue to be encouraged with the current sales environment, it is difficult to forecast near term sales. What I will say is this past quarter sales were better than we expected, and we exited the fiscal year with strong fundamentals in our business. For FY 2022, our sales performance will be led by the continued strength in our commercial business as we execute on our initiatives, both DIY and commercial have gained considerable share that we are maintaining. And we believe that we are in an industry that is positioned for solid growth for the long term. We will earn our fair share and we hope to exceed expectations. In addition, we continue to believe our products and services will be in high demand during more difficult economic times. And this resiliency gives us significant confidence about our future prospects. As we progress through the year, we will as always be transparent about what we are seeing and provide color on our markets and outlook as trends emerge. Now, I will turn the call over to Jamere Jackson. Jamere?
Jamere Jackson: Thanks, Bill. And good morning, everyone. As Bill mentioned, we had another great quarter. Our growth initiatives are continuing to deliver strong results and the efforts of our AutoZoners in our stores and distribution centers have enabled us to maintain strong results. To start this morning, let me take a few minutes to elaborate on the specifics in our P&L for Q4. For the quarter total auto parts sales, which includes our domestic, Mexico and Brazil stores, were $4.8 billion up 8%. And for the total year, our total auto parts sales were $14.4 billion up 15.9%. Now let me give a little more color on sales and our growth initiatives. Starting with our commercial business, for the fourth quarter, our domestic DIFM sales increased 21% for $1.2 billion and were up 31% on a two year stack basis. Sales to our DIFM customers represented 24% of our total sales and our weekly sales per program were $14,400 up 18% as we average $74 million in total weekly commercial sales. Once again, our growth was broad based as national and local counts all grew over 20% in the quarter. For the full year, our commercial sales grew 22.6% and 29% on a two year stack basis. Our execution of our commercial acceleration initiatives is delivering exceptional results as we focus on building a faster growing business. The disciplined investments we're making are helping us grow, share, and we're making tremendous progress in growing our business in this highly fragmented portion of the market. We now have our commercial program in over 86% of our domestic stores, and we're focused on building our business with national regional and local accounts. This quarter, we opened 72 net new programs finishing with 5,179 total programs. We continue to leverage our DIY infrastructure and increase our share of wallet with existing customers. And fiscal year 2022 commercial growth will lead the way. Our growth strategies continue to work as we continue to grow share. We are confident in our strategies and execution and believe we will continue gaining share. We remain focused on delivering improvements in the quality of our parts, particularly with our Duralast brand, making improvements in our assortment, maintaining competitive pricing, and staying committed to providing an exceptional service. These core focus areas have enabled us to drive double-digit sales growth for the past five quarters and position as well in the marketplace. As we move forward, we're focused on our core initiatives that we believe will accelerate our sales even further. Let me highlight one key initiative that is driving our performance and positioning in us for an even brighter future in our commercial and retail businesses. And that's our mega hub strategy. Our mega hub strategy has given us tremendous momentum, and we are doubling down. We now have 58 mega hub locations, and we expect to open approximately 20 more over the next 12 months. As a reminder, our mega hubs typically carry roughly a hundred thousand SKUs and drive tremendous sales lift inside the store box, as well as serve as a fulfilment source for other stores. The expansion of coverage and parts availability continues to deliver a meaningful sales lift, to both our commercial and DIY business and we're testing greater density of mega hubs to drive even better sales results. With this effort, we are leveraging sophisticated analytics to help us expand our market reach, give us closer proximity to our customers and improve our product availability and delivery times. I will remind you that our current mega hub strategy envisions our expansion to a total of a 100 mega hubs to 110 mega hubs. However, as these assets continue to outperform our expectations, we would expect to expand significantly further. We are excited about this work and its ability to further accelerate our commercial growth. All of our efforts are building meaningful, competitive advantage and give us tremendous confidence in our ability to create a faster growing business. On the retail side of our business, our domestic retail business was down just 40 basis points, but up 23.4% on a two year stack. For the full year, the retail business was up 11.2% and 18.7% on a two year stack basis. The business has been remarkably resilient as we have gained and maintained nearly 300 points of market share since the start of the pandemic. We are excited about the initiatives that drove the tremendous sales and share growth and the relentless focus on execution by our AutoZoners in our stores and distribution centers has been remarkable. We are winning in the marketplace and the execution of our AutoZoners who are taking care of our customers remains a key competitive advantage. As we exit fiscal 2021, I'm really pleased with the competitive positioning of our DIY business and our outlook going forward. The work we have done on improving the customer shopping experience, expanding assortment, leveraging our hub and mega hub network and maintaining competitive pricing have led to tremendous results over the last two years. DIY has been a strong contributor to the growth of our company and while comps are difficult because of our strong past performance, the fundamentals of our business have never been stronger. Our strategy and execution are delivering solid results. Now I'll say a few words regarding our international business. We continue to be pleased with the progress we're making in Mexico and Brazil. During the a quarter, we opened 29 new stores in Mexico to finish with 664 stores and five new stores in Brazil to finish with 52 on a constant currency basis. We saw accelerated sales growth in both countries. Most importantly, as those economy stabilize, we remain committed to our store opening schedules in both markets and expect both to be significant can contributors to sales and earnings growth in the future. Now I'll say a few words regarding our international business. We continue to be pleased with the progress we're making in Mexico and Brazil. During the quarter, we opened 29 new stores in Mexico to finish was 664 stores and five new stores in Brazil to finish with 52. On a constant currency basis, we saw accelerated sales growth in both countries. Most importantly, as those economies stabilized we remain committed to our store opening schedules in both markets, and expect both to be significant contributors to sales and earnings growth in the future. Now let me spend a few minutes on the P&L and gross margins. For the quarter, our gross margin was down 82 basis points driven primarily by the accelerated growth in our commercial business, where the shift in mix coupled with the investment in our initiatives drove margin pressure, but increased our gross profit dollars by 6.4%. I mentioned on last quarters call that we expected to have our gross margin down in a similar range to our third quarter where we were down 118 basis points. However, the team has been focused on driving margin improvements primarily through pricing actions that offset inflation to drive a better than expected outcome. As Bill mentioned earlier in the call, we're beginning to see cost inflation in certain product categories along with rising transportation costs. To be clear overall, we have pricing power, and consistent with prior inflationary cycles, we have been successful thus far at passing these higher cross through our retails. Overall the industry pricing remains rational and we're pricing accordingly. All of the actions we're taking have resulted in us growing our DIY and DIFM businesses at a significantly faster rate than the overall market. And we're committed to capturing our fair share while improving our competitive positioning in a disciplined way. We should expect our margins in the first quarter to be down in a similar range to the fourth quarter. We are however focused on driving new customers to AutoZone and overtime, growing absolute gross profit dollars at a faster than historic rate in our total autoparts operating segments. Moving to operating expenses, our expenses were up 9.2% versus last year's Q4 as SG&A as a percentage of sales deleverage 33 basis points. The deleverage was primarily driven by higher payroll expenses to support our sales and customer service initiatives and higher IT investments that underpin our growth initiatives. These dynamics were partially offset by lower pandemic related expenses in the previous year. While our SG&A dollar growth rate has been higher than historical averages, we've been focused on maintaining high levels of customer service during a period of accelerated growth and taking care of our AutoZoners during these difficult times. We will continue to be disciplined on SG&A growth as we move forward and manage expenses in line with sales growth over time. Moving to the rest of the P&L, EBIT for the quarter was just over $1 billion up 2.6% versus prior year’s quarter driven by strong top line growth. EBIT for fiscal year 2021 was just over $2.9 billion up 21.8% versus fiscal year 2020. Interest expense for the quarter was just over $58 million down 11.5% from Q4 a year ago as our debt outstanding at the end of the quarter was just under $5.3 billion versus just over $5.5 billion last year. We're planning interest in the $46 million to $48 million range for the first quarter of fiscal 2022 versus $46 million in last year’s first quarter. For the quarter, our tax rate was 20.3% versus 22.3% in last year's fourth quarter. This quarter's rate benefited 215 basis points from stock options exercise, while last year it benefited 35 basis points. For the first quarter of 2022, we suggest investors model us at approximately 23. 6% before any exemptions on credits due to stock option exercises. Moving in net income and EPS, net income for the quarter was $786 million up 6.1% versus last year's fourth quarter. Our diluted share count of $22 million was lower by 8.1% from last year's fourth quarter, the combination of higher earnings and lower share count drove earnings per share for the quarter to $35.72 up 15.5% over the prior years fourth quarter. Net income per share for fiscal year 2021 was $95.19 up a remarkable 32.3% reflecting our outstanding top line performance and lower share count. Now, let me talk about our cash flow. For the fourth quarter, we generated $1.3 billion of operating cash. Our operating cash results continued to benefit from strong sales and earnings previously discussed. You should expect us to be an incredibly strong cash flow generator going forward, and we remain committed returning meaningful amounts of cash to our shareholders. Regarding our balance sheet, we now have nearly $1.2 billion in cash on the balance sheet and our liquidity position remains strong. We are also managing our inventory well as our inventory per store growth was up four tenths of a percent versus Q4 last year. Total inventory increased 3.7% over the same period last year, driven by new stores, net inventory defined as merchandise inventories, less accounts payable on a per store basis was a negative $203,000 versus negative $104,000 last year and negative $167,000 last quarter. As a result, accounts payable as a percent of gross inventory finished the quarter at 129.6% versus last year's Q4 of 115.3%. Lastly, I'll spend a moment on capital allocation and our share repurchase program. We repurchased $900 million of AutoZone stock in the quarter. As of the end of the fiscal quarter, we had approximately 21.1 million shares outstanding. At quarter end, we had just over $418 million remaining under our share buyback authorization and over $900 million of excess cash. For the full year, we bought back $3.4 billion of stock, or approximately 2.6 million shares. The powerful free cash flow we have generated this year combined with excess cash carried over from last year has enabled us to buy back over 11% of our shares outstanding at the beginning of the year. We have bought back nearly 90% of the shares outstanding of our stock since our buyback inception in 1998, while investing in our existing assets and growing our business. We remain committed to this disciplined capital allocation approach, where we expect to have powerful free cash flows that will enable us to invest in the business and return meaningful amounts of cash to shareholders. So to wrap up, we had another very strong quarter highlighted by strong com sales, which drove a 6.1% increase in net income and a 15.5% increase in EPS. We are driving long term shareholder value by investing in our growth initiatives, driving robust earnings and cash and returning excess cash to our shareholders. Our strategy is working and I have tremendous confidence in our ability to drive significant and ongoing value for our shareholder. Now I'll turn it back to Bill.
William Rhodes: Thank you, Jamere. Nice job. Also, congratulations on your one year AutoZone anniversary that you celebrated last week.
Jamere Jackson: Been fantastic.
William Rhodes: As we start a new fiscal year, I'd like to take a moment to discuss our operating theme for the New Year. It is go the extra mile. And we will be hosting our annual national sales meeting here in Memphis next week to formally announce this theme. Being in person for the first time in two years, yes, we are going to host our AutoZoners who are vaccinated and wearing masks in person, and we are going to celebrate all they have accomplished over the past two years. I can't tell you how excited I am about next week. 2022 will again be focused on superior customer service and flawless execution. In fiscal 2022, we are launching some very exciting initiatives. We will be announcing some significant expansions to our supply chain to fuel the growth of our domestic and Mexico businesses. We are also targeting to open 20 new domestic mega hubs in the U.S. that will enhance our ability and support growth in our retail and commercial businesses. We'll open approximately 200 new stores throughout the Americas with notable acceleration in our Brazil business. These capacity expansion investments reflect our bullishness on our industry and our own growth prospects. We are being disciplined, yet we are being aggressed. Lastly, I want to reiterate how proud I am of our team across the board for their commitment to servicing our customers and doing so in a very safe manner. At the start of the pandemic last year, we could never have guessed the positive impact it would have had on our sales. First and foremost, our focus will be on keeping our Autozoners and customers safe while providing our customers with their automotive needs. And secondly, we must continuously challenge ourselves during these extraordinary times to position our company for even greater future success. We know that investors will ultimately measure us by what our future cash flows look like three to five years from now. And we welcome that challenge. I continue to be bullish on our industry and in particular on AutoZone. Now, we'd like to open up the call for questions.
Operator: Thank you. We will now be conducting a question-and-answer session. [Operator Instructions] Our first question is coming from the line of Bret Jordan with Jefferies. Please proceed with your questions
Bret Jordan: Hey, good morning guys.
William Rhodes: Morning, Brett.
Jamere Jackson: Good morning, Brett.
Bret Jordan: On the share gain, could you give us a little bit more color I guess, as far as you know, where the share is coming from, is it warehouse distributors or from other two step distributors? And then, I guess are there particular categories that you're seeing relative outperformance and then I guess the cadence. You talked about maintaining the 10 points of share you'd picked up last year, is that slowed post COVID disruption. Are you still seeing the share gains continuing?
William Rhodes: Yes. Terrific. So I'm going to bifurcate it and talk about retail and then come back and talk about commercial and then Jamere if you'll jump in and clarify anything if I miss it. Sorry. I had a mask on. First of all, on the retail business, we have very quantifiable data that we receive. It is not on the hard parts business. So think about it as everything in front of a parts counter, including batteries and spark and plus batteries and spark plugs. So we have real live data that is a larger set of data than just our traditional close in competitors. So we have facts there. We grew share very significantly this time last year. And as we began to lap those largest share gains in our company's history, we anticipated we might lose some of that share. We haven't lost any of it. I mean, it's on the margin. It's slightly positive, slightly negative month to month. But we basically grew our share in that dataset by 10%. So we moved from roughly 30% share to 33% share. I've never seen anything like that. And I'm really proud of our organization for sustaining that share over time. On the commercial side of the business, we don't have that kind of quantifiable data, but we obviously look at what's going on in the overall market. We look what's going on with our close in competitors and other competitors. And it's pretty clear when you're growing in these kinds of growth rates that we are significantly outgrowing the market probably by multiples two or three times the market growth. Where all is it coming from? You probably has as good insights into that as we do, we look at the, the publicly available data. We see that we're, we're doing very, very well in both the retail business and the commercial business. I think that the standout for us right now is the growth that we have in the commercial business. And our belief is it's because of not the pandemic, it's because of the initiatives that we've embarked on over the last three years, as we implemented this latest round of strategy work, where we're really working on making sure we've got the best parts coverage, we're continuing to amplify the Duralast brand. We've got great people doing great things. We're rolling out our mega hub strategy. Now we've implemented some technology to help us be more efficient. And we've also made sure that we're priced right, not necessarily versus our close in competitors, but we've looked deeper and looked at the warehouse distributors and making sure that our value proposition is appropriate for the kind of service that we're delivering. So those are my thoughts. Jamere, do you have anything to add?
Jamere Jackson: Yes, I think a couple things stand out to me. One is that, as you mentioned, our business has been remarkably resilient and you combine that with a great execution that we have, and it's, it's striving exceptionally strong results. As we get further away from the lumpiness of the stimulus payments, I mean, it's clear that our share gains have been maintained. Bill talked about what we're seeing on the, on the sales floor market share. We've got great results and readouts from our loyalty programs that give us a lot of confidence. And our teams are doing a great job of executing. On the commercial side, we're continuing to see those significant share gains behind the business that are behind the initiatives that Bill talked about. And a couple of things really stand out to me, it's broad base. So it's national accounts and it's local accounts that are growing over 20%. We've seen the national snap back over the last year as car counts are up and staffing is improved and miles driven is improving. And our team is doing a fantastic job of executing with those customers. So we have a tremendous amount of confidence as we move forward into the year, and this is helping us create a faster growing business.
Bret Jordan: Great. Thank you. And Jamere, just a quick question on the accounts payable, I think that's a record at 129% of inventory. Is there a number or a range we should think about that being in going forward? Can it get it go higher than this?
Jamere Jackson: It's benefited over the last year, quite frankly, because our terms have been up significantly in an accelerated sales environment. We don't expect us to go much higher than, than where we currently are. But we're continuing to do all the things that we can to manage working capital both with our suppliers and with our partners and but I wouldn't expect it to go much higher just based on the tremendous amount of [turns] (ph) that we've had over the last year or so.
Bret Jordan: All right. Great. Thank you.
Jamere Jackson: Thank you, Bret.
Operator: Thank you. Our next question is coming from the line of Greg Melich with Evercore ISI. Please proceed with your questions.
Greg Melich: Thanks. I really had two questions. One you mentioned 200 stores in the Americas. Could you sort of walk us through the breakdown of what would be domestic and then those other markets and basically is that a, a run rate we should use going forward? If you look about, look at the opportunities and I have a follow-up.
Jamere Jackson: Yes. You can expect us to be in that zip code probably for the next couple of years or so. Roughly two thirds of that or more are going to be in and sort of the U.S. market if you will. We've, we've been looking at doing 150 to 170 stores, or so based on the opportunities that we see in the marketplace. You could see us do, 30 to 50 stores in Mexico, depending on the market conditions or so, and then, the remainder coming from Brazil. I think the good news for us is that we see tremendous market opportunities, both in the U.S. and in Mexico. And we talked about on our previous earnings call that we've been testing our market potential in Brazil for really the last decade or so and we think Brazil can be a very big market for us. So we've got great potential there. We've made some leadership team changes as well. So Tom Newbern is leading our international efforts going forward. Tom is a fantastic operator, has a ton of experience. And we look forward to that being a much bigger part of our story and our strategy as we go forward.
Greg Melich: Great. And then the second question is linked to product availability and inflation. I think you mentioned that costs are going up, industries rationally passing it through. Was it fair to say the fourth quarter that inflation is maybe now running three to four in the top line, and how you think about that going forward?
William Rhodes: Yes. We're not seeing it at that level yet Greg. I think we will see it at that level. As you know, it takes some time for those price increases to work themselves through the system. And right now is, is a little bit different in that you're seeing direct product cost inflation, but the, the hyperinflation that we're seeing frankly, is in the transportation, or are not directly in all the product costs. And so we're having to be thoughtful about how do we ultimately pass those price increases or cost increases on through retail prices in both the domestic, both the retail and the commercial businesses. We think that you will see it more in the range you're talking about in Q1 and Q2, if not even a little bit higher, but that seems to be where we're headed.
Greg Melich: Got it. And the product supply there hasn't been an issue in terms of getting products?
William Rhodes: No, there are absolutely significant issues in getting products. This we are running the lowest level of in stock that I can ever remember. It's, it's, 3% or 4% below where we normally run, it moves from one category to the other. This is the most difficult supply chain environment that I have ever seen, but I will tell you, our supply chain and merchants are working it so well. And so closely with our vendors and finding new suppliers along the way where we have to in the spot market or other areas that I think we are doing competitively. And when I say competitive, I'm talking about retail in general. I'm very proud of where we are, but very dissatisfied with it on a historical basis.
Greg Melich: Got it. But competitively you feel you’re in a better than typical spot in your space, just that is tight out there.
William Rhodes: Yes. And, and Greg, I think, we looked at our outperformance versus the market in both retail and commercial. The one piece that we really didn't highlight that I would highlight is AutoZone has been known as an execution machine for decades long before I got here. And I think that our core flawless execution has been a big contributor to our success over the last 18 months in these uncertain times.
Greg Melich: Right. Well, congrats to you and the team.
William Rhodes: Thank you very much.
Operator: Thank you. Our next questions come from the line of Chris Horvers with JPMorgan. Please proceed with your questions.
Christopher Horvers: Thanks. Good morning guys. So you spoke to a two year contracts over a while with some moderation in July, and then in August. Can you share what that trend looked like for the DIY versus the commercial side of the businesses or, or what drove that to moderation? And then related to that, as you think about August did given the easier comparing DIY, did that flip back the positive on a one-year basis?
Jamere Jackson: Yes. So if you, if you look at the trends that we saw. I mean, we saw most of the moderation, obviously in our DIY business where our comps were significantly higher last year in the fourth quarter. But a couple things stand out to us. Again, as we move further and further away from the, the lumpiness is the stimulus payments that we talked about. Our business was, was pretty resilient. And so our business actually outperformed our expectations. Our commercial business has been just remarkably resilient as well. And, if you think about the commercial business, it's a lot stickier. The relationships that we built with our commercial customers is, is driving that business. And as we see the macro environment improve, and those are things like car counts, those are things like miles driven. The fact that our commercial customers are, are staffing have been able to, get their staffing levels back to where they need to be. That, that business has been very, very strong, as we, as we exited the quarter. As been our past practice, we typically don't you know, talk about what we see in the, in the early innings of, of the, the following quarter. But what I will say is that, as we, as we exited the fourth quarter we were very pleased with the trends that we were, we were seeing. And it gives us a lot of confidence about not only the first quarter, but the year in total.
Christopher Horvers: And then so did DIY in that last four weeks that you spoke to, to DIY turned back to being positive?
Jamere Jackson: It was, it was, close to being flattish in that last four weeks or so. And again, when we get to the first quarter, we got much easier comps if you will. So that ought to give you some idea of what we're seeing in terms of trends moving into the first quarter.
Christopher Horvers: It makes a lot of sense. So I guess on the pricing side so, so just to summarize there, it doesn't sound like you've seen any sort of fall out because of unemployment insurance expiring here in September. On the price side, you've invested in price and DIY to retain the share commercial to retain the share. How do you feel about where your price gaps are in the market currently in, in our things playing out the plan, i.e. there's not a necessarily a step up here from a price investment perspective that you feel you need to make to, in order to continue these great share trends?
Jamere Jackson: Yes. We believe the price investments are behind us. And, when we look at the moves that we made last year, we're going to start the anniversary, those going into this year. And as we said, the strategy is working. I mean, we, you see it in the numbers. We put on the board in terms of our DIY results and our commercial results and price has just been one element of the strategy. So all the other things that we've talked about from an execution standpoint, and making sure that we have the right assortments, the investment that we've made in our products, the technology that we have on the commercial side, those things combined with competitive pricing have underpinned the growth story that you see here. So as we're in this inflationary environment, as Bill mentioned, we're being very disciplined. We're moving retails up on the commercial and in the DIY side, the industry has been very rational. But we're maintaining those competitive price differentials if you will, that have underpinned the share growth that we've seen over the last year or so. And that's what's really important. It's not an absolute price point of view is, if you will, but it's a relative price point. But as we have opportunities to take price up, we're certainly doing that.
Christopher Horvers: Awesome. Have a great fall. Thanks very much.
William Rhodes: Thank you.
Operator: Thank you. Our next question is coming from the line of Michael Lasser with UBS. Please proceed with your questions.
Michael Lasser: Good morning. Thanks a lot for taking my question. Bill, the industry has seen tremendous DIY growth over the last several quarters as consumers have largely been staying at home, have had more time on their hands to do projects on their cars. Why wouldn't the industry give a lot, a lot of that volume back as we get back to some sense of normalcy? And if that's the case, how can you manage its P&L to maintain the algorithm that the market to cut from the theme [ph] from models on.
William Rhodes: Terrific question, Michael, I'll take the first part. I'll let Jamere figure out the second part. On the sales side, your logic is very sound. If you look at the, our business overall is up roughly 25% versus pre pandemic levels. You've been watching this industry for a long time. I've been watching it longer and, it's generally a nice grower, but in the, the industry grows around 4% a year to grow 25% over 18 months is pretty phenomenal. I think, as we said, in our prepared comments, we expected our sales to step down some this summer that we saw the last round of stimulus in March. Every time we've seen stimulus, we can see a direct correlation to our sales really grow at an exponential rate when that happens and then tail off some, but they never go back to where they were. And we spent a lot of time talking about the share gains that we have seen because we, we do think that that is beyond what's going on with COVID. I think it's somewhat related to COVID in that our teams have done a really, really good job of making sure that we have product of making sure that our customers and our AutoZoners feel safe in our stores. I would encourage, we've spent a lot of money making sure that we create a safe environment in our stores. And I would encourage you all to go in our stores and go look at us versus our competitors. Go look at us versus other retailers. It is a very, in this interesting time, a very comfortable shopping environment, as comfortable as you can find, I believe. And so I think that customers have changed their shopping behaviors. They're not necessarily wanting to go to a big box store. I think there are some online retailers that deemphasized this category during the pandemic. And, fortunately for us, we don't give guidance because it would be very difficult to tell you what's going to happen in Q3 or Q4, just like it would have been difficult to tell you this time last year, what would happen in Q4 this year? We are very confident that we will win in the marketplace by leveraging our flawless execution. The industry trends will be the industry trends, but I would refer you all back to think about on a long-term historical basis. There have been before this period three times in my career where I've seen substantially above industry performance or industry performance above the norm. And that was in '93 and '94 01 and 02, 09, 10 and 11. All of those were coming out of very difficult economic environments. This pandemic seems to be behaving a lot like that, just in an exponential fashion. What was the interesting thing out of those most the best times that we've seen was following each one of those times, we didn't step back down as an industry to where the performance was before. Well, we have some step down as an industry maybe, but I don't expect it. And I certainly don't expect AutoZone to go back to the levels that we were performing at before. It will step back a little bit, maybe, I don't know, cause this is unchartered waters, but I do think we have reintroduced ourselves to some customers. And I think our existing customers have started relying on us on a more frequent basis. And I believe many of those shopping habits will have changed forever. On the commercial side of the business, I think it's somewhat related to the pandemic. I think we're winning in a big way in the marketplace. I think we have changed our competitive position because of all the initiatives that we have. So I am, and I think we are quite bullish on the long term of the commercial business. Jamere, I'll let you talk about the P&L.
Jamere Jackson: Yes. From a P&L standpoint, here's the interesting thing for us. I mean, we have a tremendous amount of confidence in our business going forward. And if you recall, this is a business that has an algorithm that works at low to mid-single digit top line growth with high margins, that's fits off a lot of cash that we invest in our existing assets. We invest to grow our business and we return a lot of that to shareholders. Over the last couple of years or so we've had the opportunity to have outsize top line performance, and you've seen us ratchet up the things that we've done. So we've increased the level of investments that we've made in our existing infrastructure. We talked about, what we're doing to expand the capacity in our distribution centers and our supply chain. Bill talked about it in his, in his comments this morning. You've seen us invest in our, in our growth initiatives and we've had an outsize return to shareholders. So the algorithm works. It's worked for us in the past. It's worked for us through this environment where we've had accelerated sales, where we've done even more than we've done in the past. And we've got a tremendous amount of confidence in our growth prospects going forward. We're going to have tremendous financial firepower to grow this business and return cash to shareholders. And that quite frankly, is the AutoZone algorithm.
Michael Lasser: Very helpful. And my follow-up question is you seem to suggest that your gross margin is starting to stabilize either because you have lacked some of the price investments that you've made, or there's other factors that, that will also contribute your gross margins on pace to be 52.7% this year which is down almost a hundred basis points from, from the peak. So are you suggesting that you can get back to the peak level or now that you you've we based it lower, this is the right way to think about the gross margin moving forward.
William Rhodes: Yes, I think we're not projecting that we're going to get back to any particular level, Michael. I think what we are saying is for the most part, the actions that we have taken in retail are done, many of those actions are behind us. We are very pleased with the competitive position that we have. We've always been pleased with our competitive position with our close in competitors, but we've looked a little bit beyond that, to those competitors, that I’ll call or a half a step away. In the commercial business, we took much more significant pricing actions. And they were on the margin in DIY. They were fairly significant in commercial, but we finished those actions at the beginning of, of this past quarter call it in June. So, and those took some time to roll in. We started it with six markets and we went to 14 markets and we rolled it to the chain. So we're beginning to annualize the first smaller tranches of that. And we will annualize that in in the beginning of next year's fourth quarter. We feel really good, really good about the actions that we've taken. They are an element, not the element of our strategy, but as you can see in our commercial performance, we were winning in the marketplace in a big way. So we will annualize that in nine months or so. We do not have the next tranche of pricing strategies that we are planning to do in DIY or in commercial. This was, this is what we wanted to do. And I think we're very pleased with how both have played out.
Jamere Jackson: Yes. The only thing that I'll add there is that our core capability inside the company, hasn't changed. The things that we've historically worked on in terms of assortment the awesome work that our, our merchants have done over the years, the things that we see in terms of the industries, pricing dynamics, those things haven't changed. So, the core fundamentals and the core capability of the business hasn't changed over time. I've often said that, as we go through these dynamics, we tend to look at gross margins and pricing at a point in time. But over the long term, we've been very, very disciplined. As we've seen inflationary impacts hit the business, we've been very disciplined about raising pricing. And I've, I've often said that inflation is our friend in that, in that we're in that regard. So our core capabilities to expand margins hasn't changed. What we've done as Bill said is, we made some fundamental changes in terms of where we needed to be competitively in certain categories that have improved the growth rate of our business and nothing else about our businesses has changed. So all the great work that we've done in the past, we still have that capability going forward.
Michael Lasser: Very helpful. Thank you so much.
William Rhodes: Thank you.
Operator: Thank you. Our next question has come from the line of Simeon Gutman with Morgan Stanley. Please proceed with your questions.
Simeon Gutman: Hey everyone, a nice results. Maybe continuing on the gross margin thread maybe a comparer phrase what I heard from the last answer, which is, after these price investments we sort of that's the new base. And then from there, we could move into, the, where we were pre these price investments, which could have been up a little down a little sort of subject to the normal Jamere you said inflation, maybe mixed issues. But is there anything different about the go-forward once we laughed at these price investments and how you think the gross margin progresses? Because I think previously it's flattish maybe even up a little bit, is there anything wrong with that thought process in, in the out year?
Jamere Jackson: I think you said it better than I did Simeon. The only thing that I would add to it is, and you mentioned mix. If our commercial business continues to grow at a substantially accelerated rate versus our retail business, that'll provide incremental headwind.
Simeon Gutman: Okay. Got it. Okay. That's fair. And then my follow-up, maybe it is it's for you Bill, because you're, you had the quote in the press release about aspiring or aiming for growth prospects in this current fiscal year. I assume you're mentioning, it's meant to be sales curious if it can be sales and EBIT or one could be without the other. And then, 2022 is a complex year because of what you're lapping. Is there any reason we shouldn't be back to algo by 2023? The only thing different I heard on the call was just additional capital investments, Bill that you mentioned in terms of investment, not sure if those hit the P&L any different, but if you can speak about, theoretically the, the out year progression.
William Rhodes: Yes. It's a, it's an interesting way out. I would've told you FY 2022 would have been the normalized year this time last year Simeon, but I just can't tell you what's going to happen in the environment. I mean, we're sitting here take, we'll get people with mask on. Jamere and I are taking our mask on and off to answer questions. I would have never dreamt we were here in June, right? We all took our mask off and we're done with them. And here we are with Delta variants, so I can't tell you what's going to be in front of us. I do think the algorithm of the company is not going to change. The only thing that you highlight that is different right now is we will spend a little bit more on CapEx. One of the things that we've learned is, is that we probably operated our supply chain to the optimal level as I keep calling it to three decimal points. We didn't plan our supply chain to have sustained 25% surge in volume for 18 months. That has put an enormous strain on our facilities, more importantly on our people. So as we think about the future, we're going to be a little bit more aggressive. We're going to have a little bit more capacity in our supply chain to handle the volatility that we have seen for the first time in my career over this period of time. So that that'll be, over, over a couple of year period, probably a couple of hundred million dollars a year in incremental capital that we'll spend. But as we've said, all along our capital allocation strategy is one, continue to invest in the existing assets that we have to have them perform at an optimal level. Two, invest in every growth aspect that we can, that will provide us a reasonable investor IRR, and then three, whatever we have left over we'll return to shareholders, that algorithm is going to stay the same. I hope in 2023, we're back to whatever normal is. It will be interesting to see what happens in the sales environment as, as we enter whatever the new normal is. I can understand people think that the sales environment might be challenged as we lap these enormous growth in FY 2020 and 2021. I would have thought the same thing a year ago. I'm getting more and more confident that some of this is structural and some of this is permanent. What percentage your guess is as good as mine, because I've never seen a global pandemic before.
Simeon Gutman: Got it, okay. Good luck. Thanks.
William Rhodes: Thank you, Simeon.
Operator: Thank you. Our final questions come from the line of Liz Suzuki with Bank of America. Please proceed with your questions.
Liz Suzuki: Great. Thank you. So I guess first, just a question on, on same skew inflation you mentioned that the retail business had about two percentage points of benefit there, was that consistent in the commercial channel as well?
William Rhodes: Yes, we saw similar inflation in both retail and commercial.
Liz Suzuki: Great. And as we think about just modeling the impact of cost increases, when did you really start to experience an acceleration of cost inflation? And as you set out that inventory, could there be a period where you're able to raise price on product sold that may have been acquired before costs really went up, which would enable some gross margin expansion, just as we think about modeling the cadence of the sell in versus sell out, how should we think about that?
William Rhodes: Yes, it's a good point. We started to see the cost inflation really at the tail end of the third quarter and pretty much all of the fourth quarter. And, our merchants have done a fantastic job of negotiating timing and also done a fantastic job of making sure that we got retails raised in a way that kept us competitive in the, in the marketplace. And the way that, costs actually ended up flowing through the system. You typically will have a little bit of margin accretion at least in the early endings, as you raise retails before all of the costs increases, make their way through. And to the extent that, we see price increases come, there are times where we actually move a little bit early. So those are things that can actually help you at least in the near term get a little bit of margin accretion and get out ahead of what you're seeing from an inflation standpoint. And that's no different than, what we've done in the past.
Liz Suzuki: Yep. Great. And just, sorry, one more follow up just on, on cost. Just as you think about rising wages, what's your average, entry-level minimum wage for at AutoZone and what are your expectations for how that could trend going into next year?
Jamere Jackson: Yes, we really haven't disclosed our average entry level wage, but what I, what I will tell you is for the last four years, I've been talking about, we've been operating in the toughest labor and market I've ever seen, and that our wage inflation has been significant. It has basically doubled the wage inflation during this period of time. It is very, very difficult to get new AutoZoners to join the company. I hear that from all of our retail peers. Fortunately in the last five weeks or so we, things have changed a little bit. I don't know if that's directly related to the change in enhanced unemployment or not. But we have seen a meaningful improvement in the ability to hire people in both the distribution centers and the stores over time. But we are dealing with the most significant inflation in the labor market that I've ever seen. And really don't anticipate that slowing down materially until the labor market frees up some.
William Rhodes: Yes, it's a, it's a macro issue. And certainly we're not immune to the market dynamics there. What else is that, we've done a very good job of sort of managing it. Our operations teams, both on the stores and the supply chain side are working really hard to manage turnover in this environment. We've been competitive in the marketplace. And then, when it, when it's all said and done, we do have pricing power that underpins our capability to price, to deal with the influx of the impacts of inflation, whether it's product costs or transportation costs, or what we're seeing in terms of labor. And that's, that's one of the things about this industry, the discipline in this industry that gives us a lot of confidence.
Liz Suzuki: Great. Thanks very much.
William Rhodes: Thank you. Okay. Before we conclude the call, I want to take a moment to reiterate. We believe our industry is strong and our business model is solid. We'll take nothing for granted. As we understand our customers have alternatives to shopping with us. We'll continue to focus on the basics as we strive to optimize shareholder value in FY 2022 and beyond. We thank you for participating in today's call and have a great fall.
Operator: Thank you. This does conclude today's teleconference. We appreciate your participation. You may disconnect your lines at this time. Have a great day.